Donal Murphy: Good morning and welcome to DCC’s interim results presentation for the six months ended 30th of September 2021. I’m Donal Murphy, Chief Executive of DCC, and I’m joined here today by Kevin Lucey, Chief Financial Officer. Just firstly, let me apologize sincerely for the delay in the start to the conference call today. We were having some technical difficulties with our provider. I hope it hasn’t put you out too much. But we’ll endeavor to give you a lot of positive news today as we go through the update on the first half. Thankfully, I don’t have to read the disclaimer. It’s there for your information. I’ll cover off the highlights of the first half of the year, another period of strong growth and development for the group. Kevin will take you through the business and financial highlights. I’ll give you an update on the development activity for the group. I’ll update you on the excellent progress we are making in leading energy transition, bringing innovative energy solutions to our energy customers. After a summary and our outlook statement, we’ll open up for your questions. DCC delivered a strong performance in the seasonally less significant first half of our financial year, the 30th of September 2021. The strong performance builds on the growth recorded during the first half of the prior year. Operating profit increased by 11.2% to GBP 195.8 million, with more than half our growth organic, continuing our long track record of good organic growth. Each of our 4 divisions delivered good growth, underlying the resilience of our business model and our ability to adapt quickly to the global volatility in commodity prices, supply chains and inflation. Despite the very challenging environment, DCC delivered a strong trading performance during the period. DCC continues to grow and develop organically and through acquisition activity. Since our results announcement in May 2021, DCC has committed approximately GBP 80 million to bolt-on acquisitions with activity across each division. In the energy sector, we have further scaled our renewable energy solutions in the Irish market through the recent acquisition of Naturgy Ireland, and energy solutions business for commercial and industrial customers. In healthcare, we completed our first primary care bolt-on, following fast on the acquisition of Wörner in April 2021. With the strength of our market positions and active acquisition pipeline, DCC has the capability and the financial strength to continue the growth and development of the group across the energy, health care and technology sectors. Sustainability is core to everything we do across the group. DCC has a critical role to play in leading our customers through their complex decarbonization challenges. We continue to make great progress in energy transition. And during the period, we introduced many innovative energy solutions for our commercial and industrial, residential and mobility customers. We released our first stand-alone sustainability report in July this year. The report outlines the key metrics we will use to track progress against our sustainability objectives. And we are making good progress in reducing our own carbon emissions. I’ll give you more details on all of these initiatives a little later in the presentation. DCC’s purpose is to enable people and businesses to grow and progress. And during the period, we continued to make good progress in enabling all our stakeholders to grow and progress. Just to pick out a few highlights. We continue to drive greater digital engagement with our customers and suppliers. 94% of all sales orders across the group are now digital. We’ll talk later about the innovative solutions we are developing for our energy customers to help them on their complex decarbonization journey. Building on our 27-year unbroken track record in growing our dividend, we raised our interim dividend by 7.5%. We are absolutely committed to reducing our own carbon footprint, and we are progressing many initiatives across the group, including investing in innovative biofuels for our own fleet. DCC’s greatest asset is our people. The strong performance of the group throughout the pandemic demonstrates the phenomenal capability, agility and commitment of the 14,200 people who work across the 21 countries that DCC operates in. We continue to invest in our people and strive every day to make DCC a great place to work. I’d like to say a big thank you to all of my colleagues for delivering another strong performance in a very challenging environment. I’ll hand you over now to Kevin, who will take you through the business and financial highlights. Kevin?
Kevin Lucey: Thanks, Donal, and good morning, everybody. So we’ll begin with a look at some of the financial highlights of the first half. As most of you will know, revenue isn’t always the most important metric for DCC given the unit margin nature of our Energy businesses. Revenue was up 26.8% in the first half with growth in revenues in every division. But the majority of the growth was driven by 2 factors really, the recovery in volumes in the Energy businesses and also the increased cost of energy products. As Donal has mentioned, operating profit increased by 11.2%. On a constant currency basis, this growth was 15.5% and over half of that was organic, a very strong performance particularly given that we grew our profits by 8% in the first half of the prior year. Of course, the first half is the less material of the 2 halves in the context of the financial year of DCC. Adjusted EPS was up 13.8%, so a little higher than the operating profit growth. Reflecting the strong performance, the board has decided to pay an interim dividend of 55.85p per share, an increase of 7.5% on the prior year. In terms of working capital, we remain pleased with the working capital performance of the group. Overall, working capital days improved very modestly to negative 0.5 days from 0 days in the prior year. In absolute terms, working capital was negative GBP 25 million versus GBP 1 million positive a year ago. In terms of the working capital mix, we saw a very strong performance from the Retail & Oil business, which benefited from the recovery in volumes. Given the positive working capital nature of the other 3 businesses, we saw investments in working capital in each of the other 3 divisions, mostly in Healthcare and Technology, where we increased inventory given the supply chain disruption to ensure we try to provide the best service we can to our customers. In terms of cash flow, as expected, working capital was obviously higher than the year-end position 6 months ago. We mentioned in our last results presentation in May that last year-end benefited from some timing benefits in the order of about GBP 80 million. We expected this to unwind in the first half. And then in addition, we had our usual seasonal investment in working capital and lower utilization of supply chain financing. But year-on-year, working capital continued to improve, so we’re very happy with that. The balance sheet at the end of September remained very strong. We finished the half year with net debt, including lease creditors, of GBP 390 million. Net debt, excluding leases, was GBP 54 million, down on the GBP 137 million in the prior year. In terms of the high-level divisional results, for the first year in quite a while, foreign exchange translation has been a material feature in the reported performance. You will see that translation accounted for approximately 4% of a headwind in the first half overall as sterling strengthened against most of our relevant currencies but particularly against the dollar and also the euro. That represented a headwind of about GBP 7.5 million in absolute terms in the first half. We would expect if exchange rates remain broadly where they are today and given the weight of profits in the second half, the translation will be a headwind for the group this year of about GBP 20 million. All divisions recorded good growth in the first half, with Healthcare, again, the strongest at 26% or almost 30% on a constant currency basis, but all the divisions growing well. Technology saw the biggest percentage impact from currency, reflecting that the division has seen most of its growth in North America. In terms of mix of profits, the Energy business has accounted for 60% of profits, Healthcare and Technology accounting for 40%. So now we’ll flick on and look at the divisional trading performance in a little more detail. I know it’s written on the slide, but just to mention that all of the profit growth percentages on this slide are constant currency. So operating profit in LPG was up 9.6%, and more than half of that was organic. Obviously, the demand side of the equation was very good. Volume was up 26% and recovering across most markets. Volumes were up year-on-year in all markets, but some sectors still haven’t quite recovered to where they were prepandemic, areas like hospitality and leisure, for example. So in the early part of the summer, in many markets, leisure and hospitality were still subject to restrictions. As expected, the operating profit per tonne has reduced year-on-year to GBP 53 per tonne. This was very much in line with expectations driven by the recovery in the commercial volumes I mentioned and the acquisition impact of the UPG acquisition in the U.S. Across the division, we’ve been dealing with an increased cost of commodity for almost a year now. The underlying cost of LPG was more than double what it was a year ago, and volatility has been very high over the last 3 to 4 months in particular. That being said, we’ve managed through it pretty well. As many of you will know, we forward-procure a proportion of our products to ensure we have time to pass any necessary price increases through. And also, a good proportion of our commercial and industrial LPG customers are on formula pricing, where increases are automatically applied. Our teams have had to be very active on the pricing side, ensuring that the rapid increases in the commodity costs were passed into the market as efficiently as possible. Although smaller, the greatest volatility in the cost of product was apparent in our natural gas and power business areas. In terms of market performances, we again saw good performance in France, where the multi-energy offering continued to perform well with a good performance on the solar side of the business and continued strong performance in cylinders and biocylinders. In Britain, again, we saw a good performance, where we benefited from the recovery in commercial activity relative to the prior year. Operating profit in Retail & Oil was up 9.5% and almost all of that was organic. Again, we saw a strong recovery in demand with commercial and transport activity well ahead of the prior year. Volumes were up 16.5% driven by that lower-margin commercial activity. In Britain, the volume recovery drove strong growth. The business continues to benefit from its increasing range of customer offerings. We saw good growth across the variety of services we offer HGV fleets. The retail company in the space also performed well, as did lubricants and heating services. We also saw very strong growth in Denmark right across the business in commercial, in agri and in retail. And in retail in France, we also saw good growth, where we benefited from the recovery in mobility and transport activity. Operating profit in Healthcare was up 30%. 2/3 of that growth was organic. It goes without saying clearly that we’re very happy with the performance in Healthcare in the first half, particularly when you consider that profits were up 40% in the first half of the prior year. So the comparatives were not easy. DCC Health & Beauty Solutions and DCC Vital performed well and grew their profits. In DCC Health & Beauty, we saw very strong performance in Europe, and the U.S. also performed well, particularly given that we saw excellent growth in the U.S. in the comparative period. The growth in Europe was across both the nutrition space and in beauty products. We continued to invest heavily in the business during the first half. We have been improving the capacity and capability of the business and also put a new divisional management team in place in the U.S. to drive the growth opportunity that we believe exists in that market. As you will have heard from Conor at the recent DCC Healthcare investor event, the U.S. is a very large market, growing significantly, and we believe we can scale our operations there both organically and through acquisition in the coming years. DCC Vital delivered excellent growth in the first half with very strong organic growth and also benefiting from the contribution of Wörner, which we acquired last April. Activities in the health care systems have not yet normalized clearly, and we continue to support the systems of the U.K. and Ireland and now also Germany and Switzerland with sales of COVID-related products. As hopefully the pandemic-related products won’t be required as much in the future, DCC Vital will be well placed to benefit from the increased demand for more routine procedures ramping up in due course. Operating profit in Technology was up 19%, and approximately 1/3 of that growth was organic. Again, as in LPG, the first half in technology is seasonally less significant. The growth was obviously quite strong with the performance in North America in particular being excellent. We’ve seen varying levels of supply chain disruption right around the business. Clearly, some of it stems right back to the start of the supply chain in terms of chip shortages and then the knock-on impact that, that has on product availability. But we’ve also seen increased volatility in freight and other supply chain impacts that have made things difficult for the business. But our teams have coped very well with these challenges. We’ve seen the most impact really in the U.K. market where some of the freight and import-export frictions appear to be most acute and also labor availability challenges were the most severe. We were also constrained by the planned launch of some of our new automation and warehouse management systems in the U.K., which meant our throughput was lower than normal. In Ireland, we again saw good growth. But the standout performer in the first half really was the excellent performance delivered by the North American businesses, where we saw the earliest recovery in B2B demand with AV and Pro Audio in particular performing well throughout the first half. We’ve been operating in North America for 3 years now, and the business has really performed well. We also benefited in the first half from 2 modest bolt-on acquisitions we acquired in the U.S. last year. So North America is clearly a very large market, and we’re very pleased again with the progress we’ve made to date. And we’d like to think there will be further opportunities to expand there into the future. In Europe, we also saw strong performance with good growth across the Nordics and generally across the B2B sector across the continent. And just to say, further detail on each of the divisional performances is included as an appendix to this presentation. So in summary, we’re very pleased with the trading performance in the first half. The business again showed its resilience in the face of a pretty volatile environment, as it did last year through the worst of the pandemic. Directionally, the business has performed very well over the last 2 years. Our profits in the first half were over 20% ahead of where they were in the first half of FY ‘20. So now I’ll hand you back to Donal, who will take you through the remainder of the presentation.
Donal Murphy: Thanks, Kevin. Just moving on to development. While organic growth is our #1 growth objective, acquisitions are also a key pillar of DCC’s growth strategy. And since our results announcement in May 2021, DCC has committed approximately GBP 80 million to new bolt-on acquisitions with acquisitions across each of our divisions. Last week, DCC agreed to acquire Naturgy Ireland, an energy solutions business for commercial and industrial customers. The business is a service-led supplier of electricity and gas to large B2B energy customers and also provides a range of value-added services, including demand-side management, Lighting as a Service, solar PV and PPA management. The business has a long track record of sourcing and supplying renewable power and was the first company in Ireland to supply 100% renewable electricity. The business strengthened DCC’s presence in the Irish electricity and gas markets as an important step in our strategy to expand our energy solutions offering. DCC continued to expand its presence in the U.S. LPG market, completing a small bolt-on acquisition in Denver, Colorado. DCC has built a business of real scale in the U.S. LPG market. We now have a presence in 22 states, employ circa 800 people and serve the energy needs of over 250,000 customers. While we are now the sixth largest player in the U.S. market, we still have a modest market share and lots of opportunity for further growth and development. DCC LPG also completed a number of modest acquisitions in the German and Austrian markets. DCC Retail & Oil acquired a network of 19 high-quality retail sites in Luxembourg. Most of the sites are Gulf branded with an excellent convenience offering under the leading Cactus Shoppi brand which, DCC will now operate. The network contains well-located urban sites suitable for investment in EV fast-charging infrastructure into the future. DCC Retail & Oil continued to expand its mobility services in Britain, including growing network of high-quality truck stops. In June, DCC Healthcare completed the first primary care bolt-on acquisition in Germany, following fast on its initial entry into the market through the acquisition of Wörner in April 2021. The primary care market is highly fragmented in the DACH region. Although modest, the acquisition demonstrates that DCC is now well positioned to consolidate the market. DCC Technology expanded its offering in the Nordics with the acquisition of a small business distributing AV and security camera equipment. DCC continues to deploy capital to drive organic growth of the business and, during the period, invested in expanding its capability in the Health & Beauty Solutions business, including a gummy line in Britain. DCC is also investing capital to drive energy transition, but more about that shortly. With the strength of our market positions and an active acquisition pipeline, DCC has the capability and the financial strength to continue the growth and development of the group across the energy, health care and technology sectors. Moving on now to look at how DCC is leading energy transition. Aligned with our purpose, DCC has a critical role to play in leading our customers through their complex decarbonization challenges. We continue to make great progress in energy transition. And during the period, we introduced many innovative energy solutions for our commercial and industrial, residential and mobility customers. We have grown and evolved our Energy business into a very broadly based provider of energy products and services to millions of consumers across 12 countries. DCC is focused on energy transition from the point of view of the customer. As a multi-energy distributor, our role is to understand our customers’ transition journey and support the transition to cleaner energy products and services. We leverage our long-term customer relationships and our understanding of discrete energy markets to target our cleaner energy offerings. The evolution of the energy mix plays to DCC’s strength as an agile, experienced multi-energy business with leadership positions in the markets we operate in, backed by our scale and industry partnerships. We deliver real, practicable decarbonization solutions and help educate our customers on their transition pathways. Energy transition is complex and will require many excellent organizations working in partnership, something DCC has excelled at over many years. We are extending existing partnerships and creating new ones to make multi-energy products and solutions available to our customers. Our ambition is to bring energy transition closer for our customers, making it less complex, more affordable and delivering positive climate impact. Let’s look at the energy transition through the lens of our customers. Commercial and industrial customers represent circa 37% of the gross profit of our Energy business. DCC is growing -- has a growing focus on decarbonization in the commercial and industrial sector with many of our customers setting or beginning the journey towards net zero commitments. We are a trusted partner for our commercial and industrial customers. They are looking to us to help reduce the complexity of energy transition and to deliver energy solutions across processes, heating and fleet. Our knowledge of this journey is further supported by our own learnings from our own decarbonization journey. Our current focus is helping commercial and industrial customers decarbonize through biofuels, LPG, renewable electricity, energy management and solar PV. Domestic customers represent circa 41% of the gross profit of our Energy businesses. Our domestic customers typically live off the natural gas grid. This sector is hard to debate with considerable inertia. DCC will lead the transition of off-grid homes, making decarbonization simple and affordable. Our current focus is helping domestic customers decarbonize through biofuels, electrification and energy efficiency solutions. Finally, mobility customers represent circa 22% of the gross profit of our Energy business. We are providing lower-carbon fuels and energies across our retail and HGV networks. We are evolving our networks, investing in urban and motorway EV charging, multifuel HGV sites and a broad range of value-added services for our domestic and commercial mobility customers. So let’s look at a few examples of the developments over the last 6 months. Biofuels have a key role to play in energy transition. We launched a new domestic solution to trial a 100% biofuel offering for residential heating customers in Britain this winter. Biofuels are an excellent solution for customers, especially for less well-insulated or older homes. The fuel can be supplied into domestic boilers with minimal modifications and with minimal investment required to our distribution infrastructure. The trial is part of a wider industry initiative to demonstrate the benefits of lower-carbon biofuels. Our customers can reduce their carbon emissions by 85%. In France, we have a 100% biopropane offering, which provides our domestic customers with a lower-carbon solution, leveraging their existing infrastructure and providing the simplicity of predictable, recurring bills for their energy usage. We offer the biopropane through a partnership with TotalEnergies. The solution delivers equivalent returns to other LPG contracts for DCC. Our customers can reduce their carbon emissions by 60%. In the decarbonization of commercial and industrial customers, solar PV has a key role to play, and DCC is investing and building its capability in the solar PV market. In France, following 2 recent acquisitions, DCC now installs and maintains solar arrays on the roof, around the ground of commercial and agricultural customers. Here’s an example of one of our installations at a Super U supermarket in Northwest France. Our solar offering is generating strong returns in capital employed, in line with our existing LPG business. Our customers can reduce the carbon emissions of their electricity usage by 100%. We have launched an energy management service for French commercial and industrial electricity customers to provide a full energy efficiency, green electricity and energy management solution for owners of multi-unit buildings such as office blocks and apartment blocks. We are expanding the solution to include e-mobility services in partnership with a fast-growing startup. Our customers can reduce their carbon emissions by 100%, leveraging our renewable electricity. Here, we’re providing LNG to our customer, Adapt Biogas, to power the U.K.’s first biogas-to-grid plant. They’ve chosen to use LNG from DCC as it is one of the lowest-carbon off-grid fuels and the most cost-effective solution for them. And finally, we have recently announced a new partnership with ENGIE Solutions in France to roll out EV fast charging across our French motorway network. This is an exciting partnership for DCC and builds on the investments we have been making to expand our retail mobility offering in France, adding EV charging, biofuels, high-quality convenience retail, Click & Collect services and car washes. Hopefully, these case studies demonstrate the significant progress that DCC is making in leading energy transition. We are also leading by example, driving our own environmental sustainability. Here’s a few examples. We are investing in the infrastructure to supply HVO for our own fleet in the U.K. Our EuroCaps facility in Wales pictured here is now one of the most environmentally friendly soft-gel producers in the world. Over 50% of our electricity requirements are generated by our own solar PV and wind turbines. We are absolutely committed to digitizing our processes. I mentioned that 94% of our sales orders across the group are now digital. And 74% of all invoices across the entire group are now transmitted digitally, saving printing, saving postage. We are now making excellent progress in reducing our own Scope 1 and Scope 2 emissions and are well on track to meeting our initial target of a 20% reduction by 2025. So in summary, we’ve had a strong performance in the first half of the year despite the very challenging environment. All divisions achieved good growth in operating profit. Our acquisition momentum continues. Sustainability and energy transition is at the heart of everything we do, and we are making really good progress. We continue to drive both organic and acquisitive growth, leveraging our active acquisition pipeline and our very strong financial position. And finally, our outlook statement. Notwithstanding the adverse impact of currency translation and the significant increased wholesale cost of energy products, DCC continues to expect that the year ending 31 March 2022 will be another year of strong operating profit growth and continued development activity and in line with current market consensus. We leave you with our favorite slide to highlight DCC’s strategy continues to deliver. This strategy over our 27 years as a public company has delivered a consistent track record of growth, with operating profit growing 14.2% CAGR, about 1/3 of which is organic; EPS growth, 11.9% CAGR; an unbroken growth in dividends, increasing 39 -- 13.9% CAGR; free cash flow conversion of 104%; consistently high returns on capital employed, significantly ahead of our cost of capital. Thank you for listening. We’ll now take our questions from the analysts. I believe our questions will come through.
A - Rossa White: I will read them out. Rossa White here, Head of Group Investor Relations. And apologies about the difficulties, but we’ll improvise. So first question for Donal from Gerry Hennigan of Goodbody. "Do you see many other regional opportunities along the lines of the Naturgy deal in Ireland that position you across a broad range of energy and power supplies?
Donal Murphy: Yes. And thanks, Gerry, for the question. And sorry, we can’t hear from you in person. Look, the -- DCC is a multi-energy business, and Naturgy builds on the capability that we’ve been building here in the Irish market in gas and power. We now have over 175,000 customers buying 100% renewable electricity from us within the Irish market. We’ve been building our gas and power activities in the French market and indeed expanding in a number of other markets. And we see gas and power and power in particular as a key part of the energy mix through energy transition, and we’ll be expanding our business out into other regions within the power sector and pretty confident that you’ll see us deploying lots of capital in renewable power going forward.
Rossa White: Another one from Gerry here. "Outside of the Scandinavian market, are you seeing more demand for environmentally friendly fuels emerging?"
Donal Murphy: Oh, yes. Absolutely, Gerry. And I think the -- as we highlighted in the presentation, the commercial and industrial sector of the market, our customers are starting to set their own net zero targets, and this very much plays into the strength of the relationship that we have with the customers. They’re coming to us. We’re a trusted partner for them. They want us to help them on that energy transition journey. And we’ve talked for some time about the benefit of oil-to-LPG conversions for those customers, switching across LPG, 20% reduction in their carbon emissions. Look at some of the solutions I talked about earlier, where we’re able to save them 80%, 90% of carbon emissions and indeed up to 100% by using our solar installations. So commercial and industrial, well on track. And we’re seeing across the other sectors of the market that customers want increasingly cleaner products. HVO has been a great development for us within the markets that we operate within.
Rossa White: Now on to Allan Smylie of Davy. Two questions here. First one, "Donal, one of the challenges in this area with regard to energy transition is the availability of biodiesel and bio LPG. What are your expectations in this area?"
Donal Murphy: Yes, I think -- and there’s been an awful lot of focus across the capital markets in investing in clean energy products and services. And there’s lots of investment going into the biofuel sector both on the bio oil side and on the biopropane side. That investments will continue. That investment will create increasing supplies of bioproducts, and we’ll benefit on the back of it. We’ve built a very substantial relationship with Neste, the world’s leader in the production of biofuels. We’re working really hard, talked about TotalEnergies earlier with our biopropane initiatives. And the suppliers that we deal with will grow, the volume of bioproduct will grow, and DCC is very well positioned to bring then product to our customers.
Rossa White: And a related question. "And government policy in the U.K. has been particularly focused on electrification as the preferred solution to decarbonization. However, it appears, based on recent policy, that the U.K. government is taking a deeper look at biomass alternatives or HVO, for example."
Donal Murphy: Yes. Look, electrification has a key part to play in energy transition, and electrification will be a key part of the solutions that DCC provides to our customers. The residential heating side of the market, I think we talked earlier about the pilot in the U.K. on biofuels and bringing biofuels to that segment of the market. Lots of our customers are in properties that are not well insulated, that heat pump solutions do not ideally suit them and a biosolution is the best alternative for those customers to drive carbon reduction. We’ll prove that through the pilot that’s industry-wide. It’s engaged with government and regulators. But DCC will also provide heat pump solutions to our customers, and that’s something that we’re actively working on as well. So we’ll have the total solution for each element of the market, be they commercial and industrial, be they residential or, indeed, be they mobility customers.
Rossa White: And now Kate Somerville of UBS. "If LPG prices were to stay at current levels, can you give us an idea of the impact on gross profit per tonne? Are you prepared for lower volumes as a result of the higher prices?"
Donal Murphy: No. Kate, we’re very comfortable with where our margins are as we go into the busy part of the year, our -- the first half. And when you look at the margin per tonne, the reduction in the first half is very much driven by the 26% growth in volume of commercial and industrial activity returned post pandemic. So that was very much in line with our expectations. Clearly, the cost of product, as Kevin highlighted, more than doubled in the first half of the year, so we had to work very hard to manage the pricing into the market. But as we look to the second half of the year, where our margins are at the moment, we’re comfortable with the margin for the year as a whole.
Kevin Lucey: Yes. And Kate, just to say, I mean, the operating margin per tonne, I guess, net-net, I think when we were talking in May, Kate, we’ve have been saying we would have expected that to be about GBP 90 a tonne for the year as a whole, and I think that’s exactly where we see it presently. So I suppose the read-through from that is that the margin performance has been very much in -- has been consistent throughout the year. It’s been a very modest headwind in the first half but of the order of a couple of million quid. So we don’t -- we wouldn’t be calling it out as a major feature, but really because our teams have been so active and on the front foot in terms of pricing into the market and have managed that particularly well. So look, we’re pleased with that but don’t see it as being a particular headwind in terms of our gross margin by category. As Donal says, the mix impact is what’s driving the changes year-on-year.
Rossa White: So plenty of questions. Donal, from Andy Grobler in Credit Suisse: "Leverage remains very low. Are you still willing to see leverage rise to 1.8 or 1.9x seasonal peak if the right deal came along? And how does seasonal peak equate to your year-end full year average?"
Donal Murphy: Yes. So look, we -- we’re very comfortable with leverage getting to probably about 2x net debt-to-EBITDA. The peak-to-trough was about 1/2 a turn. But our -- the balance sheet is very strong. We have lots of capacity. And it won’t go unnoticed that we called out in the presentation that we have a very active acquisition pipeline. So we’re very confident that we will be deploying capital across the healthcare, the technology and the energy sectors.
Rossa White: Okay. "And are there benefits to scale in the U.S. LPG market? And how does this sit with market share losses from the top 3 in that market?"
Donal Murphy: Yes. So there’s clear -- in all our Energy businesses, customer density is a key benefit. Not only does it reduce our cost, but it reduces our carbon footprint to supply our customers. So we’re actively scaling our business in the U.S. That scale comes -- it’s not from expanding into the 22 states, it’s actually within each state, within each local area that we operate from that we get the best synergy activity. And we will continue to deploy capital. I mentioned the bolt-on acquisition in Denver, Colorado, strengthening our position within that region. We want to deploy lots of capital. Well, we’ve done well really over the 3 and a bit years we’ve been in the market in the States, now operating in 22 states, 250,000 customers. So we’ve built a considerable customer base. We only have about 1.5% share in the market. So the opportunity to really scale the market is -- the business is significant for us.
Rossa White: And from Sam Bland in JPMorgan, "The company is spending GBP 190 million in CapEx this year against depreciation of GBP 140 million. What is the growth rate of CapEx in the future? And what are incremental returns like on that?" Kevin?
Kevin Lucey: Yes. I mean thanks, Sam, for the question. Yes, look, I think CapEx for the year should be, as you say, in the order of GBP 180 million to GBP 190 million. And depreciation, yes, around about the EUR 140 million mark. I mean I think in terms of growth rate, we have been investing ahead of depreciation for a couple of years now. It’s probably stepped up a little bit as we’ve grown in the health care space and have great opportunities for organic development on the health and beauty side. And clearly, we’ve invested quite a bit in technology as well in terms of the backbone of the business there as well then as things like the solar installations, the LPG installations. So, I mean, I think we would continue to expect to be spending ahead of depreciation. And as the group -- the scale of the group continues to grow, Sam, I think we’d be deploying more on CapEx and more on organic CapEx opportunities. In terms of the rates of return we’d expect on those, I mean, typically, in a piece of organic CapEx, you’re leveraging some existing infrastructure. So we would expect typically that those incremental investments that we’re making in development CapEx would be 20%-or-higher returns on capital. That tends to be what we see when looking at these kind of investments. So the very strong growth, for example, that we’ve been delivering in the health and beauty space has been enabled by higher CapEx spend, increasing the capability of the business. The growth -- the organic growth in LPG similarly has been driven by some of the organic investment we’re putting into that business. So look, for all the right reasons, we’d like to see us continue to deploy organic CapEx in development opportunities. And thankfully, across each of the 4 divisions, we have those opportunities. So hopefully, we continue to see good progression in that.
Rossa White: And the second question from Sam on the cost of product again in LPG. "If LPG prices stay at current levels, do you feel confident in the division’s ability to manage this, particularly as any hedging rolls up?"
Donal Murphy: Yes. No, we’re comfortable, as I said, where we sit going into the second half of the year. We do hedge an element of our product for the second half of the year. So the focus is then as you come out of the winter period, making sure your pricing is in the right place for where our product is at the time. But we’re in pretty good shape. And I think it’s a real bullet point actually for DCC. When you look at the impact on the energy markets during the first half of our year, the price of propane more than doubling, our ability to manage that effectively and grow our profits in both our Energy divisions by almost 10% in the first half, I think it’s been a really strong performance and just really does show the resilience in the Energy businesses.
Rossa White: A few questions and one from George Gregory in Exane. "Could you elaborate a little on the low-carbon splits provided across commercial and industrial customers, domestic and mobility? What is LPG included in the commercial and industrial split?
Donal Murphy: Yes. So like, again, the volumes and renewable volumes are still relatively small but growing. And I think relative to the market where we’re certainly boxing well above our weight, we talked before, George, in our transport fuel volumes, 11% last year of our transport fuels were renewable. I think if we look overall at our volumes, commercial and industrial is, as I said, where most of the focus is from customers at the moment in lowering their carbon emissions. Overall, probably our oil volumes are getting towards kind of 9% renewable, and our LPG division volumes are getting kind of north of 5% would be renewable. Now that obviously includes our renewable electricity offerings which is contained within division. I think when you look at our business now the way we presented on that slide, it’s the right way to think about our business because our business very much falls into that commercial and industrial rather than kind of the split. Some of them are in LPG, some of them are in -- within Retail & Oil, domestic and mobility.
Rossa White: Question from Rajesh Kumar in HSBC. "Could you please quantify the LPG operating profit per unit? We have some already in the H1 stats. And second, how does the strength of supplier relationship help in the energy transition? Do you need to forge new supplier connections for such a transition?"
Kevin Lucey: Look, I think, Rajesh, one of the earlier questions probably picked up a little bit on that, the metrics piece, operating profit per tonne obviously declining from GBP 60 to GBP 50 but actually that being entirely in line with expectations in that, representing the mix impact. I think I’ve also mentioned earlier that the headwind from pricing, if you like, was very, very modest and less than a couple of GBP 100 million. So I wouldn’t be calling that out as a major feature. And for the year as a whole, I think we broadly see the operating margin per tonne around about the GBP 90 mark based on current pricing of the commodity. So not a -- I think, probably covered mostly by the -- by that earlier question.
Donal Murphy: And our partnerships, Rajesh, is a key part of DCC’s business across all the sectors that we operate within. We build long-term, sustainable partnerships with our energy, health care and tech partners. In Energy, it is hugely important, and something that we’re working very actively on, building the relationships, because lots of our existing partners are producing cleaner-energy fuels, as you know. But we’re also expanding out the range of partnerships that we have and talked about a few of them earlier. But like that ENGIE partnership, again ENGIE coming to DCC because we have really well-located retail sites on motorways to build out our partnership with Neste, the global leader in biofuels. We’ve been working really hard to expand those partnerships, and that will continue to be a feature of our energy transition journey because there’ll be lots of traditional players producing cleaner energy fuels. But there’ll be lots of new players in the sector. And DCC’s strength is our customer base. We are selling product ultimately to circa 9 million customers across the 12 countries that we operate within. That is the really valuable asset that DCC has, our ability to bring cleaner energy fuels to those 9 million customers.
Rossa White: We believe this is the final question from Jane Sparrow in Barclays. "Could you provide the impact of the evolving business mix on financial metrics. Historically in Energy, we’ve looked at things such as profit per liter or tonne and operating profit per tonne in Energy. We’re keen to understand a little bit better your revenue model when you’re installing solar panels, for example, and offering more energy management services."
Donal Murphy: Yes. The metrics will evolve, and you’ll see us evolve our metrics going forward. Clearly, while pounds per tonne and pounds per liter were important metrics and are important metrics for our business, our #1 metric as a group is the return on capital employed that we generate on all the activities across the group. And when we look at each of the new areas that we’re getting into, we’re generating similar, higher in some cases, but similar returns on capital employed, so the capital employed were existing in -- or we are generating within the existing businesses. Revenue models differ in the different businesses. So solar has an element of installation income and has an element of maintenance income. And actually, the really interesting part of that, and you look at that -- some of those very large, complex installations that we’re doing, lots of times, there’ll be excess electricity produced that we can take back and sell as a renewable source into our existing electricity customers, so effectively getting a kind of closed loop on the electricity market. So lots of new, innovative models from a revenue perspective coming in, in this sector, but all generating high returns on capital. So, say, thinking about customers from a lifetime value is really the way we’ll think about customers as we go forward.
Donal Murphy: Okay. I think that is -- that’s the last of our questions at this stage. So just to say sorry, again, and apologies for the technical difficulties at the start. Hopefully, it hasn’t put people out too much. I’d like to thank you all for joining us this morning. And for all the questions. Again, we would have preferred to get them in person, but hopefully we’ve managed to handle all your questions. Just to leave you with a couple of comments. DCC has had a strong performance in the first half of the year despite the very challenging environment. All our divisions achieved good growth and operating profit, demonstrating the resilience of our business model. Our acquisition momentum continues. Sustainability and energy transition is at the heart of everything we do. And hopefully, we brought that to life to you today. And we are making really good progress in energy transition. We’ll continue to drive both organic and acquisitive growth, leveraging our active acquisition pipeline and our strong financial position to build DCC into a global leader in our chosen sectors. Many thanks. Goodbye.